Operator: Greetings. Welcome to the BlueLinx Holdings' Fourth Quarter and Full-Year 2021 Results Conference Call. [Operator Instructions]. I will now turn the conference over to Ryan Taylor, Vice President of Investor Relations. Thank you. You may begin.
Ryan Taylor: Thank you. Good morning, everyone, and welcome to the BlueLinx Holdings' Fourth Quarter and Full-Year 2021 Conference Call. With me on the call today are President and CEO, Dwight Gibson; and Chief Financial Officer, Kelly Janzen. Our fourth quarter and full-year 2021 News Release and Form 10-K were issued last night, along with our webcast presentation. These items are available in the Investors section of our website, bluelinxco.com. We encourage you to follow along with the detailed information on the slides during our webcast. As a reminder, today's discussion contains forward-looking statements. Actual results may differ significantly from those forward-looking statements due to various risk factors and uncertainties, including the risks described in our most recent SEC filings. Today's presentation includes certain non-GAAP and adjusted financial measures that we believe provide helpful context for investors evaluating our business. Reconciliations to the closest GAAP financial measure can be found in the appendix of our presentation. At the conclusion of our prepared remarks, we will open the line for questions. With that I'll turn the call over to Dwight.
Dwight Gibson: Thanks, Ryan, and good morning, everyone. Thank you for joining our call today. 2021 was a remarkable year for BlueLinx, an extraordinary in many respects. We finished the year on a high note, reporting double-digit net sales growth and record gross margin for the fourth quarter, reflecting strong operating execution and positive market tailwinds. Before diving into the details, I want to first thank our teammates for their dedication, resiliency, and adaptability. Teammates like Bennie Ross, Material Handler in Lawrenceville, Georgia, who celebrated his 40 year anniversary with BlueLinx last year. And teammates like Liza Rodriguez, our Operations Manager in Miami, who has done a tremendous job building a highly engaged and productive team at her branch. In a year filled with uncertainty and change, I am incredibly proud of the entire organization's effort and execution. We significantly improved our operating performance while capitalizing on dynamic market conditions. As a result, we achieved record full-year profitability in 2021. Achieving all-time highs in gross profit, adjusted EBITDA, and EPS underscores the benefits of fostering a performance-based culture and focusing on a few critical strategic initiatives. Specifically, we implemented actions to emphasize growth in higher-value specialty products, leveraged centralized purchasing and pricing teams and importantly, drove a disciplined approach to inventory management for structural products. These actions underpinned our incredible 2021 financial performance. For the full year, net sales grew 38% to $4.3 billion. Gross margin expanded 280 basis points to 18.2%, and adjusted EBITDA increased 172% to $464 million, which is nearly 11% of net sales. We generated $131 million of free cash flow, reduced net debt by 19% or $115 million and recapitalized our debt structure. We ended the year in a strong, flexible financial position with net leverage at 1.1x and available liquidity over $430 million. With a balance sheet fortified, we are increasing investment in our people, in our fleet and in our distribution branches to support our best customers and drive profitable growth. Beyond that, we have ample liquidity to create additional value through disciplined strategic capital allocation. We continue to build out a world-class leadership team to drive transformational growth by leveraging our scale and increasing stickiness with our best customers through the quality of our delivery, relevance of our specialty product portfolio and our value-added service capabilities. I believe a consistent delightful customer experience reaches its highest potential to interaction with talented and engaged employees. Developing this culture remains at the core of everything we do at BlueLinx. We began 2022 with positive momentum in our business and favorable tailwind in the US housing market. In January, net sales were up more than 20% year-over-year and gross margins exceeded 20%. We are poised for another strong year and enthusiastic about our long-term future. Taking a closer look at Q4, net sales grew 12% year-over-year to $973 million. This growth was led by specialty product net sales, which were up 29% year-over-year and comprised 66% of total net sales in the period. We achieved record gross margin of nearly 20% and delivered $112 million of adjusted EBITDA, which is 11.5% of net sales. Overall we delivered results that exceeded expectations for the quarter and further demonstrated our ability to capitalize on strong demand amid ongoing supply constraints and continued volatility in wood-based commodity prices. Moving on now to the US housing industry. End-market trends remain favorable, and demand for building products continues to be robust. Single-family starts were up 13% in 2021 and are expected to grow further in 2022 based on multiple industry projections. Repair and remodel activity remains elevated as rising home equity levels, an aging US housing stock and flexibility to work from home have combined to drive homeowner investment. And although mortgage rates have risen recently, they remain historically low. Even with the anticipated rate increases by the Fed, we believe the mortgage market will continue to provide financing at historically attractive levels. As demand remains strong, the housing industry continues to experience ongoing supply constraints with no signs of abatement in the near-term. As such, volume has remained stable and the majority of our supply of specialty products remains on allocation from vendors. Even so we are focused on expanding relationships with key suppliers who are aligned with our strategy as we look to increase net sales and specialty product categories, expand our value-added capabilities and extend our national presence. Through this strategic focus, we secured approximately $200 million of incremental specialty product supply in 2022 from about a dozen select vendors. This includes product categories such as cedar, EWP, and decking. In structural products, our focus remains on efficiently serving our best customers while effectively mitigating risk from ongoing commodity price volatility. To this end, we will continue to aggressively manage our structural product inventory. This approach has served us well, as illustrated by gross margin performance in the second half of 2021. Over that six month period, lumber prices per 1,000 board foot ranged from $1,000 to $390. Even with this volatility, In addition to supply constraints and fluctuations in commodity pricing, we have effectively managed rising input costs, competitive labor market and extended lead times on imports, which represents approximately 20% of our overall vendor supply. To summarize our view of the market, near-term demand for building products remains positive with healthy economy, rising wages, and ongoing desire for homeownership and renovation. We expect to continue capitalizing on this robust demand, while vigilantly monitoring and controlling commodity risk. In parallel, we are executing our long-term strategic initiatives. These initiatives are focused on commercial excellence and continuous operating improvement, which are core levers for profitable growth. In support of these initiatives, we continue to develop a performance-driven culture, underpinned by data-driven decision making and standard repeatable processes. In January, we launched a balanced scorecard to drive accountability to KPIs focused on people, process and performance. From a sales perspective, we have narrowed our strategic focus on increasing our mix of specialty product sales, growing our private label business and expanding our value-added service capabilities. On the supplier side, we are working with select vendors to partner on key specialty products in categories such as engineered wood, cedar, moulding, outdoor living, siding and industrial products. Our ultimate goal is to drive profitable sales growth and expand gross margins through the combination of an engaged and accountable workforce, commercial excellence and continuous operating improvement. I believe we are in an opportunity-rich environment to deliver on this goal. We continue to strengthen our world-class leadership team with proven executives from diverse backgrounds. On this front, I want to highlight a few recent additions. On January 31st, Seth Freeman joined as VP of Marketing and Communications. Seth has over 25 years of experience, leading integrated brand and marketing strategies. He joins us from American Family Insurance where he served as AVP of Brand and Marketing Experience. His integrated analytical approach to our marketing and communications efforts will focus on elevating the BlueLinx brand and driving employee and customer engagement through multiple channels. On February 14, we added Sean Dwyer as Chief Strategy and Corporate Development Officer. He joins us from WestRock, where we built and led the corporate development function. Sean has a proven track record and his addition gives us dedicated internal resources to accelerate growth. And just last week, we announced that Kevin Henry is joining our team on March 1st as Chief People Officer. Kevin brings over 30 years of strategic and operational human resource leadership experience to our team. Previously, he served as Executive Vice President, Chief of Staff and Chief People Officer for Extended Stay America. Earlier in his career, he served in CHRO roles at Snyder's-Lance, Coca-Cola Bottling and Nationwide Credit. Kevin is also a current Board Member for Saia Incorporated, a publicly-traded logistics and distribution company. He is a highly accomplished business leader, who will bring a strategic focus for our human capital efforts and spearhead the acceleration of establishing our performance-based culture. We are excited with the additions of Seth, Sean, and Kevin, and they will play critical roles in driving our enterprise strategy. In addition to investing in our people, we are also increasing our capital investment in the business. Last year, our capital investments grew to $14 million about 3x to 4x our historical levels. In 2022, we continue to focus on enhancing the safety and sustainability of our assets. And as such, we have earmarked at least $25 million of capital to further upgrade our fleet and continue to improve our distribution branches. We also plan to upgrade a large portion for traditional gas fuel forklifts with state-of-the-art higher efficiency forklifts, many of which will be electric. Additionally, we are investing in technology upgrades to support branch optimization, process enhancements and scalability. From an M&A perspective, we are building a pipeline of opportunities that either expand our specialty product sales mix, increase our relevance to key customers or suppliers or extend our geographic reach. With respect to acquisitions, we intend to be thorough and disciplined as we evaluate strategic fit, integration effort and return on investment. That concludes my opening remarks. At this time, I'll turn the call over to Kelly for a more detailed discussion of our financial results and capital structure. Following that, I'll provide closing remarks before we take your questions. Kelly?
Kelly Janzen: Thanks, Dwight, and good morning, everyone. I'll begin with the fourth quarter. Our Q4 results reflect continued positive momentum in our business and strong underlying demand fundamentals in the markets we serve. Fourth quarter net sales were $973 million, up 12% year-over-year. This growth was driven by specialty product net sales, which increased 29%. This was partially offset by a 10% decline in structural product net sales. Total gross profit was $194 million, resulting in a 19.9% gross margin, an all-time high on a quarterly basis. Net income was $74 million and diluted EPS was $7.30 per share. The fourth quarter tax rate was 25.2%, in line with our expectations. Adjusted EBITDA was $112 million or 11.5% of net sales. These excellent results reflect the benefits from our operational improvements and demonstrate our ongoing ability to capitalize on favorable market conditions. For the full year, net sales were $4.3 billion, up 38% compared with the prior year. Gross profit was $778 million, an increase of $301 million or 63%, and gross margin expanded 280 basis points to 18.2%. Our net sales growth and improved profitability for the year were largely attributable to robust demand for building products amid ongoing supply constraints, strategic pricing actions, and our strong execution in selling a higher margin mix of specialty building products along with continued disciplined structural inventory management. Notably, our specialty product net sales grew 35% year-over-year with incremental gross profit of 37% and our structural product net sales grew 43% when compared to the prior year. The incremental gross profit on this growth was 11%. Net income for the full year was $296 million and diluted EPS was $29.99 per share. The effective tax rate for the year was 24.8%. Given the significant gross profit, adjusted EBITDA for the 12 months was $464 million, up 172% year-over-year or 10.8% of net sales. 2021 was no doubt the best annual financial performance we've ever achieved. And despite unprecedented market conditions, we believe that many of the fundamental improvements we made last year will also support us in the future. Now, I'll discuss the product categories for the fourth quarter, beginning with specialty products. Net sales were $641 million, up 29% or $143 million when compared to the prior period. Gross profit increased $54 million to $140 million and gross margin expanded 450 basis points year-over-year to 22%. The net sales growth and improved profitability were again driven by strong execution of strategic pricing actions consistently across our branches, reflecting our ability to continue to capitalize on favorable market dynamics. This growth was modestly offset by lower overall net sales volume, which we attribute to ongoing supply chain disruptions. Despite this, the net sales volume and strategic categories such as millwork and siding increased year-over-year. Through the first half of Q1 of 2022, specialty products gross margin was in the range of 22% to 23%. And with current market conditions where demand is continuing to outpace supply in several specialty product categories, we expect these margins to stay relatively consistent throughout the first quarter. Now moving on to structural products. Net sales for the fourth quarter was $331 million, down 10% or $35 million as compared to the prior year period. Gross profit was $53 million, or 16% of net sales. This compares with gross profit of $38 million, or 10% of net sales in the fourth quarter of 2020. During Q4, wood-based commodity prices recovered from Q3 lows, up to averages of $702 per 1,000 board foot for framing lumber and $715 per 1,000 square foot for structural panel per random lengths. Consistent with the approach that we've taken since the onset of the pandemic, during the quarter, we continue to leverage centralized purchasing and pricing decisions to ensure we maintain disciplined inventory management and position ourselves to effectively mitigate the risks related to commodity price volatility. These actions allow us to continue to optimize structural products financial performance, while also enabling us to have sufficient supply for our customers. In the first quarter thus far, average commodity prices have climbed to $1,207 for lumber and $1,147 for panels, roughly a 72% and 60% increase from the end of Q4. Given these increases, we've experienced greater than 20% gross margin for structural products in the first quarter to date. Touching briefly on SG&A. For the fourth quarter, SG&A was $83 million, down $6 million year-over-year. And for the full year, SG&A was $322 million, up $8 million from 2020. For both Q4 and the full year, the changes in SG&A were due primarily to fluctuations and variable incentive compensation related to net sales and profitability. In Q4, we generated operating cash flow of $18 million and free cash flow of $9 million. Capital investments increased to $9 million in the quarter, as we anticipated. Of this investment, $6 million related to 100 new curtain side trailers, which are safer than flat beds for our drivers and provide enhanced protection for the products we deliver. And $3 million was invested at several of our distribution branches as we continue to upgrade and maintain our infrastructure to support safety, sustainability and productivity. For the full year, we generated $145 million of operating cash flow and $131 million of free cash flow at an attractive yield to our market cap. Capital investments for the full year totaled $14 million and net working capital investment was $178 million. This working capital investment included $146 million of inventory with approximately $115 million attributable to inflation. At year end, 80% of our inventory balance related to specialty products consistent with our sales strategy. This composition of our inventory demonstrates continued progress on our goal to shift our sales mix towards specialty products. Days sales of inventory increased by 11 days in the fourth quarter versus the prior year period and six days as compared to the third quarter of 2021, as our inventory continues to be more concentrated in specialty products, which turns at a lower velocity than our structural inventory. Moving on to our balance sheet. As Dwight mentioned, we recapitalized our debt in 2021, which included retiring our 8% term loan in the second quarter, amending our credit facility in the third quarter, which reduced our interest rate and extended out the maturity date from 2022 to 2026 and issuing $300 million of senior secured notes at 6% that mature in 2029. These actions significantly improved our debt structure and strengthened our financial position to support future growth. At the end of fiscal year 2021, cash on hand was $85 million. Total debt was $575 million and net debt was $490 million. Net leverage was just over 1x, down from 3.5x at the end of 2020. Available liquidity at year end was $432 million when considering our cash on hand and undrawn revolver capacity of $346 million. Given the strong start to 2022 and favorable market tailwinds, we anticipate generating positive free cash flow again this year. Overall, I'm proud of the work our team has done to recapitalize our balance sheet and significantly improve our financial position over the last year. Our new capital structure is balanced and flexible, and we believe we have ample liquidity to support investment in our operations and strategic growth. As we evaluate investments, we will be thorough and disciplined with value creation centered on the highest return on investment opportunities aligned to our business strategy. Looking now at Q1. Through the first seven weeks of 2022, market conditions in the US housing industry remain generally favorable with robust demand for specialty building products and commodity prices well above Q4 averages. These dynamics in combination with our disciplined approach to inventory management and strategic pricing actions have had a positive impact on Q1 gross margin. As I mentioned earlier, quarter-to-date, our gross margin for both specialty and structural products exceeded 20%, with specialty products gross margin modestly above second half 2021 levels. We expect our Q1 tax rate to be in the range of 24% to 28%. And in terms of capital expenditures, we expect to significantly increase our investment in 2022 when compared to historical levels. We anticipate that our cash spending will exceed $25 million this year, $2 million of which is planned in the first quarter. As we continue to upgrade our fleet, improve and in some cases, expand our facilities, we'll also invest in more technology. This marks an exciting inflection point in our company's history as we have ample liquidity to invest in our business to optimize operational performance and accelerate organic growth. In summary, 2021 was a milestone year for our team as we set record profitability for key metrics, including gross profit and margin, net income and EPS and adjusted EBITDA and EBITDA margin. We recapitalized our balance sheet and strengthened our financial position. I'm proud of what we accomplished and excited for our future. And at this time, I'll turn the call back over to Dwight for closing remarks.
Dwight Gibson: Thanks, Kelly. In closing, it's an exciting time for BlueLinx. We are an essential part of a complex supply chain and a value-added partner to our customers in an industry that has positive fundamentals. In 2021, we significantly improved our operating performance and demonstrated the ability to capitalize on a dynamic market environment. We are creating a performance-based culture, emphasizing growth in our specialty products and driving continuous improvement throughout the business. Our financial position is strong and we are investing for profitable growth. As we look to the future, I believe we're in an opportunity-rich environment to create long-term value for all stakeholders and we are steadfastly committed to that goal. That concludes our prepared remarks. At this time, we are happy to answer any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Greg Palm with Craig-Hallum Capital Group.
Gregory Palm: Congrats on the continued progress here. I guess, starting off with some commentary by segment and maybe starting with specialty. So if my math is right, I mean, nice growth in Q4, but pretty significant growth on a year-over-year basis. And I'm just trying to figure out how much of that was driven by volume versus price? And more importantly, just based on supply chain, my guess is there was still quite a bit that was probably left on the table. So just trying to dig into that a little bit more.
Kelly Janzen: Sure. I'll go ahead and start with that. So, we discussed in the materials, you'll see, as we spend more time on that today that we -- most of that is price. We really had a little bit of a reduction in volume year-over-year and that's exactly what it is attributable to is the supply chain and disruption that we continue to experience. And specifically, we see a little softness in more of our EWP business as well as industrials, although we had some nice upside, low single-digits in the millwork and siding areas of our specialty business. So as a whole, we felt good considering the situation around our volumes and then very excited about our pricing.
Gregory Palm: And that kind of segues into my next. Just in terms of sustainability of pricing, how much do you think that this might be a little bit temporary just based on where supply chains are versus something that's maybe more structural and something that's going to hold over time?
Dwight Gibson: Yes. This is Dwight. That is a critical point, something that we're spending a lot of time on. I think that we have demonstrated the ability to really secure pricing, particularly in the specialty side of the business and that's a function not only of the supply constrained environment, but also some of the work we've done as a business to really understand what our customers' needs are and make sure we're providing a service that allows them to be successful, whether it be around responsiveness, additional things we do to the product to get it to them the way they want it, when they want it, how they want it. So, we do believe there will be some stickiness around pricing, particularly in the specialty side, as Kelly has alluded to over the past few calls and holding at a higher level than you've seen historically.
Kelly Janzen: I just want to say we will continue to maintain that we've -- and we've said this last couple of quarters that we believe that our specialty margins should stay in that kind of 19% to 20% range as a normalized rate. We don't have a different view of that right now.
Gregory Palm: Yes. Okay. Perfect. And just on structural, my guess is the average price was significantly higher in the December quarter versus Q3. And so I'm assuming that most of that sort of delta between a lot higher price and flat revenue is on purpose. It's just sort of purposefully holding back volume and inventory. Can you confirm that? And that sounds like it's just a continued focus here not only in the near-term, but basically going forward as well, right?
Dwight Gibson: Yes. Yes. I can absolutely confirm that. We are focused on being really disciplined as to how we treat and manage our structural product inventory. We want to make sure we have sufficient product to meet our core customers' needs. But we're not looking to chase the market up, and we want to make sure we can kind of manage it and turn it quickly. And that will be the play we continue to run in the business.
Gregory Palm: And Kelly, are you willing to give us what the margin for structural was in January alone? You said, quarter-to-date, running over 20%. But what was it specifically in January? Can you tell us that?
Kelly Janzen: We've had a consistent margin rate kind of week-over-week throughout the first quarter. So, I don't plan to give a specific for January, but it was not materially different than the quarter-to-date number.
Gregory Palm: Okay. Great. All right. I'll hop in the queue. Thanks. And good luck going forward.
Dwight Gibson: Thank you.
Operator: Our next question comes from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: Great. Thanks. Just wanted to go back to the specialty pricing. If you look at the 2021 performance, hoping you could maybe just talk a bit about how much of that was kind of supplier-driven price increases versus your own internal pricing strategies?
Kelly Janzen: Sure. So -- of course, we have continued as well as everyone in the industry to see supplier-driven price increases since actually towards the end of 2020. We started seeing that in the fourth quarter of 2020 and throughout 2021. So while that is part of what's behind it, I think what our team has done, it has done an excellent job of taking those, pushing those through, all the way through the -- to the end customer process and really capitalizing on that and really showing the premium we can get on these products that are in very high demand and very specialized. So, I think it's a both answer and that we feel there's a good bit that's sustainable as it relates to our pricing strategy. And of course, the underlying impetus is for everyone is that there's been supplier hikes as well.
Dwight Gibson: Yes. The other thing I'd add to that, in addition to that, the team has really been intentional around just improving our pricing approach and rigor. So really looking at our portfolio, our A items or B items or C items or D items and making sure they're priced appropriately, minimizing leakage, driving better discipline and a stronger governance around how we do pricing and looking at that from more of a centralized perspective and a more decentralized perspective. So just the quality and the completeness of our pricing has improved in addition to the points that Kelly has mentioned. And we'll continue to drive that across the business going forward.
Kurt Yinger: Got it. Okay. That's helpful. And then I thought the call out of the specialty inventory investment in Q4 was kind of interesting. And Dwight, I think you touched on a $200 million number kind of along those same lines. So maybe you could just, I guess, clarify what that $200 million number was, talk a little bit more about the inventory investment, as well as how you think about the ability to start growing segment volumes against what don't look like particularly challenging comps from '21?
Dwight Gibson: Yes. No, it's a great point. As we mentioned, driving our mix is an important part of our approach going forward and really strategic for us. We want to shift our mix in terms of the percentage of volume that we sell to be more specialty business. So, that's an intentional thing as we think about the inventory we bring in and how we want to get that out to our customers. And obviously, we're operating in an allocated environment. So getting more product is an important part of making that happen. So the team has been really intentional on reaching out to some of our core vendors and some of our core categories. So if you think about EWP, if you think about outdoor living, cedar, trying to secure more supply. And that's what that $200 million represents. So it's split between kind of our private label brands, a good portion of EWP, some decking, some cedar and we're trying to bring more product in that kind of supports this mix effort across the business.
Kurt Yinger: Got you. Okay. That's helpful. And then you touched on some of the different specialty categories that you're kind of focusing on. I wonder if you could just highlight one or two where you see the most runway or feel like you're kind of most underpenetrated? And then as you think about going after that opportunity, is it a downstream kind of sales and marketing push, expanding brands or product to new locations? Maybe you could just walk through that.
Dwight Gibson: Yes. So, I really like our outdoor living segment. It's an area where it's really consistent with where all the energy you see in the market right now around -- particularly on the repair and renovation side, people thinking about their homes differently. It's a place not just to live, but a place to work and to play and investing those in a meaningful way and outdoor living, decking and other things, in particular, is a really hot area that I think we could add a lot of value to. I think we have the opportunity to offer that portfolio of products across more of our network. We don't have that across the majority of our network now. So that creates market opportunity. And we've built some really good relationships with a couple of vendors and brands, MoistureShield, being a good example that have really seen pretty significant growth in 2021. And we're looking to drive more growth in 2022. And a part of that incremental volume is supportive of that as well. So, I think that's a category that the runway is long, the demand environment is really robust and we have a lot to offer.
Kurt Yinger: Got it. Okay. That's helpful. And just last one for me on specialty margins. I mean, it sounds like kind of bouncing back up sequentially thus far in Q1. But as you think about kind of coming off the peak in Q2 and coming down to about 22% in Q4, maybe you could just touch on what the big driver was there? Was it mix or some other factor? And how we should think about that going forward?
Kelly Janzen: Sure. Yes, the volatility we see in that fairly tight range is really -- is around mix. So -- and it really is driven by -- two quarters ago, we had some real nice strength in EWP. Allocations have taken more of an impact in the last quarter or so. We also see some treated lumber and panels in our specialty business that have a little bit of fluctuation. So certainly, there's a mix element as it relates to specialty, which is why we give that kind of floor on the margin from a normalization perspective.
Kurt Yinger: Got it. Okay. Well, appreciate all the color, and good luck here in the remainder of Q1.
Dwight Gibson: Thank you. Appreciate it.
Operator: Our next question comes from the line of Reuben Garner with The Benchmark Company.
Reuben Garner: So the back half of the year, the -- if I'm doing my math right, the specialty business accounted for about 2/3 of revenue and something like 83% or so of gross profits, and that's despite kind of an elevated price environment for the commodities. Is there any way you could tell us kind of roughly what price you realized in your structural business over the back half of the year so that as we're trying to figure out a normalized earnings run rate for your business, we can just kind of make an adjustment there because it seems to be -- the gross margin is kind of in line with your historical average. The specialty business is much more stable. That's kind of the only component we need to adjust to kind of see what maybe you would have earned if lumber was at $500 instead of $800?
Kelly Janzen: Yes. Well, the way our pricing works for structural is really taking that on Random Lengths price and then putting on top of that our margin and some freight costs, kind of freight adders. So that's really how we ultimately price. And while we don't disclose the actual prices, that's really the way that we -- you can get to that number.
Reuben Garner: Okay. And maybe a different way to ask a question that was asked earlier. I think Greg asked about the sequential move in structural business. It was down 9% year-over-year. Can you disclose how much? I assume price was likely up year-over-year. Can you tell us how much volume maybe you walked away from or were unable to serve because of the supply chain issues?
Kelly Janzen: On the structural side?
Reuben Garner: On the structural side. Yes.
Kelly Janzen: Yes. So for, one, I just want to make sure we're clear. I don't think we've walked away from business because of supply chain issues on the structural business. I think that really -- that lower volume really is coming out of the result of us really maintaining that lean, lower inventory to mitigate the risk related to the volatility and to -- and really -- so we've been pushing on margin over volume as it relates to our structural business. And I would say it's in the 10%-ish range is where we are on a kind of a year-over-year as it relates to that impact, as we continue to really more continue to focus on the specialty side and continue to hone in on that inventory approach.
Reuben Garner: Okay. Perfect. And to be clear, that's what I meant to say. So last question on the specialty margin profile. So a lot of talk about gross margin. And I know you guys don't disclose EBIT or EBITDA. But directionally, can you help us with maybe how to think about specialty versus structural in terms of profitability further down the line? Are there higher cost to serve in one or the other swings in commodity prices, obviously, can impact operating expenses with the structural business. So anything you could tell us about maybe what the margin profile looks like maybe at an EBIT or EBITDA level between the two businesses?
Kelly Janzen: Sure. Well, so we talked -- and for the fourth quarter gross profit, especially about 70% -- a little over 70% of our gross profit. And our cost to serve are really -- there might be some small nuances. But at the end of the day, our distribution branches serve both structural and specialty together. We often even have those products on the same truck. So, we don't have a distinction really in the cost to serve as it relates to one versus the other, which is important. So, I think you can kind of think about it that way as you really kind of see how it trickles down into the EBITDA number.
Reuben Garner: Okay. And then, I guess, as a quick clarification or a final question on that note. How do rising prices impact your cost to serve? In other words, specialty price is up, call it, 30-plus percent year-over-year. Does that -- if that number were volume increasing 30%, would that have a different impact on your SG&A expenses?
Kelly Janzen: It would not directly have an immediate impact on that. So, our SG&A is relatively stable and mostly fixed. We do have variability related to labor, pricing -- labor cost and some fuel costs in there, but it's not directly correlated to the pricing of our product.
Reuben Garner: Okay. Great. Congrats, guys, on the strong results. And good luck moving into the rest of '22.
Dwight Gibson: Appreciate it.
Operator: Our next question comes from Jeff Stevenson with Loop Capital.
Jeffrey Stevenson: Congrats on the great quarter. Sure. So, my first question is just on specialty volume growth in the first half of the year, given that supply constraints remain elevated. Do you expect it to be kind of a similar level of declines as the fourth quarter? Or will it maybe be a little higher due to tougher first half comps?
Dwight Gibson: Yes. I think we'll see continued challenges on the supply side. I was having some conversations over the past couple of weeks, some of our large vendors. I also had the opportunity to meet with some of them at the Builders' Show not too long ago. And here's the reality. I mean they got hit pretty hard in the late December, early January from a labor perspective with the Omicron variant. In many instances, they had absenteeism in the 20% range. You couple that with some of the struggles you've seen on the transportation side, either weather-driven or trucker-driven, Freedom Convoy in Canada and some other challenges. It's really put a damper in their ability to get product out to the extent they wanted to. So, I think we're going to feel some of that through the first quarter for sure and hopefully see that easing a bit as we move into the second quarter. But I think on an overall basis, I'm expecting supply environment not to be significantly different than it was second half of 2021. And hopefully, we'll see some improvement as we move into the second half of 2022.
Jeffrey Stevenson: Got it. No, that makes sense. And then just to ask a different way on the specialty products margins. Obviously, in the first quarter, they're going to remain elevated due to continued supply constraints and also you'll get some tailwinds from more commodity prices since you have 10% to 15% exposure there. But as you look at kind of more normalized 19% to 20% levels, and I know this is probably hard to answer right now, but do you think that normalization will occur maybe more in the second quarter? Or will it be more of a later back half story?
Kelly Janzen: Yes. I mean, I really don't think we can tell. And not because we know, I think we don't know. I think the outlook that we see and what we've read and seen in the research recently says that we expect supply chain disruption to continue for a decent amount of time, maybe definitely through the first half, maybe into the second half. But that's just what we read, but we don't officially know. So, I think as long as we have that situation, we're going to see similar to what Dwight said, a consistent output coming out of specialty.
Jeffrey Stevenson: Got it. No, that makes sense. And then lastly, between the added flexibility from October's debt offering and recent appointment of a Chief Strategy Officer, it seems like BlueLinx is looking to return to M&A sooner than later. And I was just wondering if you can talk about kind of where things stand there and when you maybe could expect a deal to come at some point here in 2022?
Dwight Gibson: Yes. I mean, absolutely. Hey, that -- if you look at our business and you look at the levers we pull to create value, I think our scale is one of them. And I think we have opportunity to fill out our footprint in certain markets where we like the end market profile, and we think we could offer really good value there based upon our expertise and our capability. So, that's something that we're looking at as we think about inorganic opportunities in addition to anything that accelerates our mix movement to a stronger specialty focused and/or allows us to service our really core customers, our key customers in a more holistic way. That's kind of the thesis as we think about M&A. It's an interesting market out there. There's activity, but we want to make sure that it's something that we are excited about, that kind of fits and checks some of those boxes that we -- that I just mentioned and that we feel that we can integrate well and really turn one plus one into three. So we're active. We're looking. We're in conversations, and we're optimistic that we'll be able to kind of move the ball down the field over the course of 2022. Great to hear. Best of luck moving forward.
Operator: Our final question comes from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: Great. And appreciate you taking the follow-up. Just wanted to go back to the comments on operating expenses. So if the costs are spread there between segments and both sets of products on a truck, why not maybe lean into more commodity volume at some stage? And I'm not saying go out and load up on lumber at $1,200. But if we saw prices come back down with the improved balance sheet and liquidity position, how do you think about maybe more aggressively going after that business and leveraging that largely fixed SG&A?
Dwight Gibson: Yes. So listen, I want to be clear. The structural business is something that we appreciate and allows us to really be a full-service partner for our customers. So, we're going to look to continue to make sure that we are able to service them well, and we have availability that's appropriate. That being said, if you look at our results, if you look at what generates margin for us, if it looks at what generates cash for us, it's a specialty business. So, we want to make sure that we're investing in that appropriately, and we're able to kind of meet the needs and get growth there in a consistent basis. We like our operational capabilities and our cost of serve. We think there's an opportunity to kind of leverage that effectively across both parts of the business, and we'll continue to do so. But we're going to do it in a thoughtful way. We're going to do in a way that kind of creates the most value for the organization. It allows us to deliver the best experience for our customers. We're not going to chase structural volume. We're going to make sure we have sufficient and we can perform at a high level. But we're going to really look to kind of be balanced and really drive our mix to specialty in a consistent path.
Kurt Yinger: Got it. Okay. That's helpful. And then you guys talked about M&A a little bit, but maybe you could just touch on how you're thinking about potential, kind of greenfield organic expansions and the puts and takes there? And then what type of kind of level you think is appropriate in terms of cash to hold on the balance sheet?
Dwight Gibson: Yes. So, we are ramping up our investments in organic activities. So, we talked about increasing our CapEx investments. We're excited about that. We absolutely believe that the best investment you can make is in organic investments and driving our business forward. So whether that be new equipment, whether that be increasing capacity in our branches, whether that be technology to drive efficiencies, we're focused on that. We have a healthy pipeline in place of CapEx activities and projects that we're going to be executing in 2022 and beyond, inclusive of consolidating branch locations or expanding branches and adding more capacity where we have the space. So we're excited about that, and we're going to lean into that. We think that will create the opportunity to drive growth and service our customers better. And we're always going to be thoughtful about other opportunities, inorganic in particular, that can accelerate progress on our strategy. But we're excited about the opportunity to really lean into our business and make it better.
Ryan Taylor: Thanks, Kurt. This is Ryan. I want to thank all of our analysts for thoughtful questions and for joining us today on the call. I appreciate all those that also joined us on the webcast. At this time, we're going to conclude our Q4 and 2021 full-year earnings call. We appreciate the support. Alexander and I will be available through the rest of the day and through the remainder of the week to answer any follow-up questions you may have. Thank you so much for joining us. We'll talk to you next time.
Operator: This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.